Executives: Jane Nielsen - Chief Financial Officer, Chief Accounting Officer and Executive Vice President Michael Tucci - President of Retail Division - North America Andrea Shaw Resnick - Senior Vice President of Investor Relations & Corporate Communications  Lew Frankfort - Chairman and Chief Executive Officer
Analysts: Paul Lejuez - Nomura Securities Co. Ltd., Research Division Dana Lauren Telsey - Telsey Advisory Group LLC Amanda Sigouin - Jefferies & Company, Inc., Research Division Erika K. Maschmeyer - Robert W. Baird & Co. Incorporated, Research Division David A. Schick - Stifel, Nicolaus & Co., Inc., Research Division Faye I. Landes - Consumer Edge Research, LLC Edward J. Yruma - KeyBanc Capital Markets Inc., Research Division Lizabeth Dunn - Macquarie Research Lorraine Maikis Hutchinson - BofA Merrill Lynch, Research Division Kimberly C. Greenberger - Morgan Stanley, Research Division Christine Chen - Needham & Company, LLC, Research Division Robert S. Drbul - Barclays Capital, Research Division
Operator: Good day, and welcome to the Coach conference call. Today's call is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to Senior Vice President of Investor Relations and Corporate Communications at Coach, Ms. Andrea Shaw Resnick. You may begin.
Andrea Shaw Resnick: Good morning, and thank you for joining us. With me today to discuss our quarterly results are Lew Frankfort, Coach's Chairman and CEO; and Jane Nielsen, Coach's CFO. Mike Tucci, President of North American Retail, is also joining us for a holiday preview. Before we begin, we must point out that this conference call will involve certain forward-looking statements, including projections for our business in the current or future quarters or fiscal years. These statements are based upon a number of continuing assumptions. Future results may differ materially from our current expectations based upon risks and uncertainties such as expected economic trends or our ability to anticipate consumer preferences. Please refer to our annual report on Form 10-K for a complete list of these risk factors. Also, please note that historical growth rates may not be indicative of future growth. Now let me outline the speakers and topics for this conference call. Lew Frankfort will begin with an overall summary of our first fiscal quarter 2012 results and will also discuss our progress in global initiatives. Mike Tucci will review our key programs for the holiday season. Jane Nielsen will conclude with details on financial and operational highlights for the quarter. Following that, we will hold a question-and-answer session where we will be joined by Jerry Stritzke, our President and Chief Operating Officer. This Q&A will end shortly before 9:30 a.m. We will then conclude with some brief summary comments.  I'd now like to introduce Lew Frankfort, Coach's Chairman and CEO.
Lew Frankfort: Good morning, and thank you, Andrea. And welcome, everyone. As noted in our press release, we posted another strong quarter, reflecting the global resonance of our brand proposition with both women and men, based on innovation, relevance and value, as well as the vitality of the category in all markets as our customers look to update their wardrobes through our fashion right, leather goods and lifestyle accessories. In North America, we are continuing to grow our share of an expanding market, while in developing geographies, we are leveraging the inherent opportunity, investing in distribution and marketing initiatives. Beyond the top line, we are also very pleased with our high levels of profitability and substantial cash generation in Q1. Looking forward, and given the strength of our product pipeline, breadth of our assortment and shoppers' strong interest in accessories, gifts and self-purchase, Coach is clearly well positioned for another excellent holiday season. While I will get into further detail of our current condition and the outlook of business shortly, I did want to take the time to review our quarter first. Some highlights were: first, net sales totaled $1.05 billion versus $912 million a year ago, an increase of 15%; second, earnings per share totaled $0.73, up 16% from prior year; third, direct-to-consumer sales, which now include our Singapore business rose 17% to $910 million from $777 million in the prior year on a comparable basis; fourth, North American same-store sales for the quarter rose 9.2% from prior year, while total store sales rose 15%; fifth, sales in Japan rose 1% on a constant currency basis and 10% in dollars; and finally, in China, we continue to generate very strong growth with the continuation of significant double-digit comps. We're also very pleased to announce the acquisition of our domestic retail business in Taiwan, which is expected to occur in early January. During the quarter, we opened 2 North American retail stores, including one in the new market for Coach, Winnipeg in Canada, and the men's mall store in Garden State Plaza in New Jersey. Two retail stores were also closed. In addition, we opened 9 factory stores, including 8 men's stand-alone factory stores. At the end of the period, there were 345 full-priced and 152 factory stores in operation in North America. Moving on to China. During the quarter, we opened 5 net new locations, 4 in the mainland, one in Macau, bringing the total to 71 locations.  In Singapore, as planned, we took control of our retail businesses this quarter and opened one new store as well. We now have 6 company-operated locations in that country. And in Japan, 3 locations were added during the quarter, all of them dedicated men's shops, while one retail location was closed. At quarter end, of 178 total locations in Japan with 20 stand-alone full-priced stores, including 8 flagships, 119 shop-in-shops, 32 factory stores and 7 distributor-operated locations. Indirect sales, which for context represent about 13% of Coach's sales on an annualized basis, increased 4% to $140 million from $134 million in the same period last year on a comparable basis. At POS, U.S. department store sales rose slightly on a year-over-year basis in the quarter. At the same time, international retail sales rose at a double-digit pace, driven primarily by distribution growth. It should be noted that the international traveler represents a meaningful growth opportunity as Coach's global awareness and presence increases. Moving on. We estimate that the addressable women's U.S. handbag and accessory category rose about 5% to 10% last quarter. At the same time, in our own North American stores and on the Internet, Coach's handbag and accessory sales rose 12%. It's worth noting that our men's business was a significant driver of our overall all sales growth in Q1. Our North American performance is also benefiting from our rising global awareness, which is visible by the sharp increase of tourists in select stores in travel markets around the country, including Hawaii, Las Vegas, Florida, and of course, New York. In these locations, Coach has become a key shopping destination.  Our total revenues in North America rose 13% for the quarter with our directly operated stores up 15% as distribution growth augmented comp. As noted, total Q1 same-store sales rose 9.2%, fueling the strong overall comp with similarly strong gains in both channels, driven by significant increases in conversion from prior year, while tickets rose as well and store traffic declined. It's important to note, however, that we continue to experience significant gains in traffic and sales on the Internet. Looking at online traffic in combination with store traffic, it's more representative of our consumers' shopping behaviors in this growing digitally enabled environment, notably for the full-priced channel. In aggregating this metric, traffic into our retail channel actually rose with increases on coach.com more than offsetting the modest declines in store. This is consistent with our increased emphasis on digital, both through our own website and social media. In Japan, we posted a 1% increase in constant currency and a 10% increase in dollars, as mentioned. Coach now holds the #2 place within the Japanese imported accessories market with a 17% yen share. Our position reflects the strength and relevance of the Coach brand, as the Japanese consumer will become increasingly value oriented.  As we've discussed many times outside of North America, China is clearly our largest geographic growth opportunity given the size of the market and the rate of growth. During the quarter, our sales rose sharply from prior year, fueled by distribution and significant double-digit same-store sales. Clearly, the Chinese consumer has embraced Coach, as evidenced by the extremely high repurchase intent among existing customers. While Jane will get into more detail on our financials and I will discuss our outlook in some detail shortly, I wanted to give you this recap. As you know, Mike Tucci has joined us today to discuss our product performance for Q1 and our holiday sales initiatives. Mike?
Michael Tucci: Thanks, Lew. During the first quarter, as always, we maintained a high level of product innovation and distinctive newness, driving higher conversion levels and improved productivity. In addition to our relaunch of an evolved Poppy collection in July with updated styles, patterns and prints, we launched the new Chelsea collection featuring a modern, faceted turnlock inspired by our heritage and offered in timeless silhouettes. In August, we offered new fall fabrications, colors and patterns in Madison and a new shoulderbag style in Chelsea. During September, we focused on Kristin with several new totes and satchel styles. Clearly, our balanced and more refined handbag assortment continues to drive sustainable growth in North America. Handbags once again posted strong comps in the quarter, the penetration rising to 58%, the low single-digit increase and average unit retail. To open the second quarter, we brought in Madison, our core holiday collection, completely updated and featuring several new silhouettes. Lindsey, a new style and feature of our holiday ad campaign, was an immediate hit with consumers. Abigail is also a new fashion silhouette and key item. Both are available in the range of fabrications, including gathered leather, and price from a $358 up to $898 for limited edition. Also new to Madison are the Mini Sophia, the smaller version of this foundational style, the flat carryall and the Caroline Dowel satchel. With this being the most fully developed the Madison offering, we are seeing the highest penetration level for the collection ever, eclipsing its highly successful launch 3 years ago. For November, we're excited about Poppy, offered in new styles including 2 totes, a foldover crossbody silhouette, a hippie and a satchel. Liquid gloss or soft patent lightweight fabric, we'll bring additional excitement and color to the collection. We'll also be adding some newness to Chelsea. Only introduced this fall was a tote that features chain detail at compelling price points. Right before Thanksgiving, we'll refresh the assortment with updates to Madison and Kirsten, along with a new drawstring tote in Chelsea, giving her additional reasons to revisit and repurchase during the key holiday season. Of course, we'll also have a comprehensive assortment of great gifts, from iPad covers to wrist list and a wide range of items under $100 as well. In addition, our holiday product will be supported by a comprehensive marketing plan beginning in mid-November featuring a powerful gifting message. The emphasis of our marketing will be product and item-driven across our core categories and other gifting ideas. Our campaign will span coach.com, social and rich media advertising and compelling print and in-store marketing to drive traffic. We'll also be adding digital media to select high-profile store windows as the new element of our in-store marketing. I'd also like to take this opportunity to provide an update on our digital strategy and the benefits that we're seeing from it. As mentioned in previous calls, coach.com is our most important marketing tool. Our primary objective online in North America is to build top-of-mind brand awareness while maximizing e-commerce opportunity. In fact, within North America, coach.com is our fastest-growing retail store with double-digit sales growth.  Additionally, we're especially pleased with the early results of our mobile commerce site with over 15% of coach.com's total site traffic coming from a mobile device. Our digital presence expands far beyond our own website. We continue to evolve our engagement with our customers in a very relevant and authentic way through social media, with Facebook being the most important platform where Coach enthusiasts actively participate in our brand.  Also in the U.S., we recently launched our factory flash sale site. Offered by invitation-only to our factory loyal consumers, this highly-profitable 48-hour private sale events complement our store strategy and give our customers another way to engage with that channel. While this is a snapshot of our North American retail digital initiatives, our web presence is global. We also have an e-commerce site in Japan and informational site in 16 important countries. We'll continue to use our digital capability to build awareness and as a customer touchpoint as we expand the Coach brand globally. Moving to our stores. Lew already mentioned our store openings in North America this quarter. As you heard, our new distribution is primarily focused on growing our men's business, with 9 of the aggregate 11 stores opened in Q1 dedicated men's locations. While we're only 1-year into our focus on the men's initiative, we've been extremely pleased with our results as our business doubled on a global basis last year. In North America, we see men's as both a comp driver in existing stores and a substantial new distribution opportunity.  Similar to the way we viewed the brand's potential in the women's category in the late 1990s, we believe that Coach can be the authority in men's bags and accessories in the years ahead. As we created the world of Coach for women across categories, we're now doing the same for men, designing collections with a distinct point of view, sharing the modern, classic aesthetic that is a hallmark of Coach. Clearly, the male shopper is engaging with the brand in increasing numbers. In summary, we're excited with the continued progress we've made in improving our full-priced productivity and our growing men's business. We're feeling great about the holiday season given the current sales trends in both our full-priced and factory channel.  With that, I'll turn it back to Lew for a discussion of our strategy and further opportunities for growth.
Lew Frankfort: Thanks, Mike. Mike just discussed a number of our productivity initiatives, including men's, which we're confident will be a significant contributor to top line sales in the seasons and years ahead, both in North America and in international markets.  I would like to now focus on distribution growth. As mentioned in August, we expect that our square footage globally and across all channels will increase about 12% this year compared to 9% in FY '11. Starting in North America, we will open about 40 new stores this year, including about 15 full-priced and 25 factory outlets with more than 1/2 and each channel being dedicated men's locations. In total, we expect North American square footage growth of about 7% this year, in line with last year but primarily driven by men's. Turning to China. This year, we're accelerating new store openings with about 30 locations planned or an additional 25 for the balance of the fiscal year, with the vast majority on the mainland. Virtually, all of these openings will be dual-gender stores due to the size of the men's opportunity. Given the continued strength we're experiencing in China, we are now projecting sales of at least $300 million for FY '12, the top end of the range we articulated in August. As previously mentioned, we are making significant investments towards increasing awareness in China as we leverage our 70th anniversary campaign to build on our positioning as a New York fashion brand grounded in heritage and history. This integrated campaign has several key elements, including an international brand ambassador, Gwyneth Paltrow, who has proven relevancy in China and other international markets. In November, she'll be traveling to China with us and participating in several key press events. In Japan, spending has stabilized from the post-earthquake and tsunami period. Our focus continues to be on gaining market share. During FY '12, we expect to open about 15 net new locations in Japan, nearly all of them dedicated men's stores. In total, we anticipate that net square footage growth in Japan will increase by about 10% this year compared to 3% in FY '11. Consistent with our strategy of directly operating select Asian markets, and as I mentioned briefly, we are pleased to announce that we've reached an agreement to take control of our domestic retail business in Taiwan, which has 24 locations and generates about $50 million of sales at retail. This transition is expected to occur in early January. And as previously announced, our Malaysia distribution will be acquired next July. It's important to note that these acquisitions will allow us to leverage the investments we've already made in the region, utilizing the infrastructure created over the last few years, including our Asia shared services center and the Asia distribution center. Outside of our directly operated markets, we do have thriving distributor-run businesses in other countries. During FY '12, we expect to open about 35 net new international wholesale locations, expanding to new markets, including Brazil and Vietnam, as noted on our last earnings call. Touching on Europe. During Q1, we added one location within Printemps in France, 2 in Ireland and one in Spain. Of course, we're excited about our new Bond Street flagship, which opened last month. Our international brand ambassador, Gwyneth Paltrow, co hosted a number of events heralding our opening, which helped raise brand awareness. During the balance of FY '12, we expect to open about 8 additional locations in Europe. In closing, as most of you know, we have 3 over-arching growth strategies: build -- first, building our women's business in the growing North America market; second, leveraging the global opportunity; and third, tapping into the large and growing men's category. Taken together, we are confident that they will drive our business at a double-digit pace during our planning horizon. At this time, I would like to introduce to you Jane Nielsen, our new CFO, for further detail on our financials. Jane?
Jane Nielsen: Thanks, Lew. It's great to be with all of you on my first Coach earnings call. Lew and Mike have just taken you through the highlights and strategies. Let me now take you through some of the important financial details of our first quarter results.  As mentioned, our quarterly revenues increased 15% with direct-to-consumer up 17% and indirect up 4%. Net income for the quarter totaled $215 million, up 14%, with earnings per diluted share of $0.73, up 16%. This compared to net income of $189 million and earnings per diluted share of $0.63 in the prior year's first quarter. Our operating income totaled $322 million, 13% above the $286 million reported last year, while operating margin was 30.7% versus 31.3%. We were extremely pleased with this level of growth and at the high level of profitability. During this quarter, gross profit totaled $765 million versus $676 million a year ago, an increase of 13%. As expected, gross margin rate was 72.8%, a sequential improvement from the 71.8% reported in Q4 '11. This compared to 74.2% a year ago, reflecting the impact of higher sourcing cost this year. Our expense ratio in Q1 totaled 42.1% compared to 42.8% reported in the year-ago quarter. We were able to gain 70 basis points of leverage in the quarter as our primary direct businesses here in North America and in Japan provided leverage to the corporate P&L, more than offsetting the impact of our investment spending. We believe we're striking the right balance between driving future growth opportunities and operating efficiencies. Inventory levels at the end of the quarter were $520 million, 13% above the $459 million reported at the end of last year's Q1. This inventory level allows us to support 24 net new North American stores, 8 net new locations at Coach Japan, 22 additional Coach China stores, the 6 stores from our acquisition in Singapore and our men's initiative. Further, it will support strong underlying business trends, enabling us to maximize sales this holiday.  Cash and short-term investments stood at $848 million as compared with $712 million a year ago. During the first quarter, we repurchased and retired nearly 1.1 million shares of common stock at an average cost of $55.30, spending a total of $59 million. This brought our trailing 12-month repurchase total to nearly 18 million shares, equaling about $1 billion. At the end of the quarter, approximately $900 million remained under our company's present repurchase authorization. Net cash from operating activities in the first quarter was $225 million compared to $177 million last year during Q1. Free cash flow in the first quarter was an inflow of $194 million versus $154 million in the same period last year. Our CapEx spending was $31 million versus $23 million in the same quarter a year ago. Consistent with our previous expectations and reflective of our global growth initiatives, CapEx for the year will be in the area of $200 million, driven primarily by the opening of new stores across all geographies and investments in technology necessary to enable our expansion. We were very pleased to once again report these strong financial results, and as Lew and Mike said, we're well positioned for the holiday quarter and the rest of the year.  To elaborate, first, we expect to achieve double-digit sales with earnings per share growth ahead of the top line. Our sales will be driven in part by at least mid-single-digit comp store sales growth in North America for the balance of the year. Second, as we said before, we still expect our gross margin to improve sequentially in the first half of the year versus the second half of FY '11, though our gross margin will still contract in the first half on a year-over-year basis. However, the second half is expected to improve over last year as we anniversary increased sourcing costs. On balance, we anticipate the gross margin will remain in the 72% to 73% range for the year. Third, on SG&A, we expect our developed businesses to continue to deliver leverage while we will also continue to invest in global growth for the future. Fourth, we are committed to delivering an operating margin similar to what we've generated over the past 2 years. And fifth, our tax rate is likely to be in the area of 33% for the remainder of the year. In summary, our first quarter results demonstrate our ability to manage our business nimbly while investing prudently in longer-term opportunities. We have accelerated our distribution plans to leverage the emerging market opportunity with a particular focus on China while also exploring new geographies, capitalizing on the increased popularity and recognition of the Coach brand with discerning consumers globally. We are also optimizing the brand's potential in men, leveraging our long heritage and equity in this category. And with the business model that generates significant cash flow and with virtually no debt, we are positioned to take full advantage of profitable growth opportunities globally while continuing to return capital to our shareholders. I'd now like to open it up to Q&A.
Operator: [Operator Instructions] Our first question comes from Bob Drbul with Barclays Capital.
Robert S. Drbul - Barclays Capital, Research Division: Lew, the first question that I have is on China. You just reported strong China results and took your numbers up. What are you seeing there that gives you such confidence? And are you at Coach at all concerned about a hard landing or a slowdown in China?
Lew Frankfort: Well, first, we're focused on Coach, and our performance continues very strong. We've seen no slowdown in our rate of growth in China. As I mentioned, the repurchase intent is extremely high, and we're continuing to realize significant double-digit comp sales. And as we've discussed, we are opening 30 new locations. More broadly, I'm confident there will not be a hard landing in China. I think it's going to be a soft landing that will largely exempt the emerging middle-class population, which is our target consumer. She's a professional. She's young. She sees herself as part of the global marketplace. And she's going to be least affected.
Robert S. Drbul - Barclays Capital, Research Division: Great. And then just a follow-up question is, in the U.S., Mike, can you talk about the trends above $300 and below and sort of any changes that you see and how you think the fourth quarter -- or the second quarter for you guys will play out from that perspective?
Michael Tucci: Sure, Bob. Using Q1 as the proxy where we kicked off the year, we are right at $2.99 in average unit retail. So we were up slightly over last year, which is very important. We had some pricing advantage. That was driven by an increased contribution penetration of handbags over $400, particularly on the back of the strength of Madison. And as you know, Madison is our lead collection for Q2. It's performing very, very well out of the gate. And I believe that, that affords us some pricing opportunity within the second quarter, albeit our second quarter is a little bit more of a price-sensitive quarter given the gifting nature of the business. So we're very, very enthusiastic about where the mix is landing, and we see Madison as a key driver.
Operator: [Operator Instructions] Our next question comes from Christine Chen with Needham & Company.
Christine Chen - Needham & Company, LLC, Research Division: I wanted to follow up on that question. You mentioned that greater contribution from bags over $400. What was that contribution? And what was it last year? And I'm wondering with the whiplash in the market, have you seen particular volatility in your traffic trends at either full-priced stores or factory stores?
Lew Frankfort: Sure. $400 -- over $400 handbag offering was up, represented about 22% of handbag sales versus 16% last year in Q1. That's a nice increase. Traffic volatility is not something that we're seeing at all. We see a very consistent pattern.
Operator: Our next question comes from David Schick with Stifel, Nicolaus.
David A. Schick - Stifel, Nicolaus & Co., Inc., Research Division: Question. You mentioned, Lew, at the beginning that the women's market itself is going 5% to 10%. You grew faster at 12%. Where would you peg the growth rate of the men's market in North America or globally?
Lew Frankfort: We actually don't have any good numbers there. We think we're going to make the market in North America. It's highly fragmented and very small. We're really confident that we're already growing the market in North America and it will be more pronounced in years to come. Outside North America, we're playing real catch-up. There's a very developed market in China where roughly 40% of total luxury spend is on men's products, and we want our rightful share. Today, it's only 15% of our sales in China. And similar levels of spending occur in other East Asian countries, in Japan where it's about 15% of our sales as well that we believe we can grow our share there, too. So we're very optimistic that internationally, it's a catch-up. And the new markets, which we're entering, such as Europe and China, it's a major emphasis.
Operator: Our next question comes from Lorraine Hutchinson, Bank of America.
Lorraine Maikis Hutchinson - BofA Merrill Lynch, Research Division: You mentioned on the call that your e-commerce this year, 16 informational sites in various countries. Should we expect to see those moved to full e-commerce channels, particularly in China? And what are the hurdles that you face in doing so?
Lew Frankfort: Mike.
Michael Tucci: As we develop our business in these countries, particularly from a retail presence, we build the market from a store basis, and we're really accenting our position in the market with informational sites. As the business develops, we will convert our informational sites to e-commerce sites. So for example, China will convert to e-commerce later this year. We have an e-commerce site in Japan. So it will be market by market and it will be enabled by the opportunity that we have in countries from a distribution and fulfillment standpoint. Also, the informational sites allow us to drive awareness to our stores, traffic to our stores and capture customer information e-mail and other productive information.
Operator: Our next question comes from Randy Koenig from Jefferies.
Amanda Sigouin - Jefferies & Company, Inc., Research Division: This is Amanda Sigouin in for Randy. Question also on China. Roughly how much is the pricing premium there versus the North American business? And also on the product there, do you see any differences between the handbag penetration in China versus the U.S. or kind of the average price points there?
Lew Frankfort: Well, first, on the second part of your question, what we're finding within our global assortment are very little differences. So that handbags have a similar level of penetration that we have in the United States. However, as I mentioned, we are distorting our development towards men's. As we open our future stores, we expect virtually all of them to be dual gender. So very quickly, men's penetration will rise dramatically. In terms of our pricing, we have a global pricing strategy, and it is consistent with other luxury brands.
Operator: Our next question comes from Dana Telsey, Telsey Advisory Group.
Dana Lauren Telsey - Telsey Advisory Group LLC: Jane, welcome, look forward to working with you. Jane, can you give us your initial take on Coach, a little bit about what your priorities are in the role now? And Lew, I was in the store on -- and Mike, I was in the store on Bond Street on Sunday. It looks terrific. I saw the 41 Bond Street collection and I could see why you're going to do well there. Can you talk a little about overseas and where you expect overseas sales and profits to be as a percent of total over time?
Jane Nielsen: Well, I can take the -- I'll take the first question since it was directed at me. I guess what I found at Coach is a lot what you see in our Q1 earnings. Great, just incredible passion for the business. It's an incredibly knowledge-driven management team that's both numerous and really knows the business cold. As CFO, I really appreciate the disciplined and rigorous processes that really support all the decision-making but really retains the sense of flexibility to respond to the market. And I guess what I appreciate most is the passion that everybody approaches the business with and that everyone has for the brand. As CFO, I really think that finance can contribute in 4 important ways. I'd love for the finance team to be viewed as a business partner that really takes great ideas and makes some great businesses, to really be a model of stewardship and that leads by example and to really be a driver of a well-controlled organization that's committed to delivering results the right way.
Lew Frankfort: Okay. When we say overseas growth, I'm going to reference business outside North America. First, the good news is that Coach continues to be a growth market. So it's hard to beat the overall growth in North America. But as we develop scale, particularly in China and East Asia, we expect that 50% of our growth over the next 5 years will be outside of North America. And what that means is that we will go roughly, and I'm going to give you a rough number, from about 30% of our sales today outside North America to over 40%. The other element I'd just like to emphasize is that as we grow internationally, there is a spillover impact into the United States, and we're really benefiting enormously from the surge in awareness and brand cache among tourists, as I said earlier, in key markets.
Operator: Our next question comes from Paul Lejuez, Nomura.
Paul Lejuez - Nomura Securities Co. Ltd., Research Division: Can you talk about in which businesses you saw year-over-year improvement in the EBIT margin line, if any? I'm just trying to understand how much the EBIT margin drag was from mix versus actual declines in those individual segments.
Jane Nielsen: Paul, we don't discuss EBIT margins for our individual business units. The individual business units' operating margin for the 2 major channels, direct and indirect, will be provided in the Q.
Robert S. Drbul - Barclays Capital, Research Division: And just maybe one follow-up. I was a little surprised that you didn't buy back more stock during the quarter. Just wondering what your thoughts are there.
Jane Nielsen: Well, I wouldn't interpret too much from our Q1 buyback. We remain committed to returning capital to our shareholders and fundamentally believe that share buybacks are a good means of doing that. We're always balancing the working capital needs of our business to fuel growth with the open window that we have to buy back our shares. And as you know, Q1 is our shortest window to do that buyback.
Operator: The next question comes from Liz Dunn with Macquarie.
Lizabeth Dunn - Macquarie Research: As it relates to your men's business, can you just talk a little bit about how you're thinking about the openings in the U.S.? Are they clustered in sort of tourist locations? And how does the productivity of the men's business in the U.S. compare to the productivity of your women's business?
Michael Tucci: Sure. I'll break this out. Let me start with full price. We are seeing the opportunity in full price to add men's presence in our best locations in the United States. And that's either going to occur with an expansion within our most productive stores or malls or taking existing real estate in those most highly productive stores and dedicating more space to men's, as we've done, for example, in our Madison Avenue store at 57th Street, at 342 Madison store and others throughout the country. The approach in men's will be top-down. We're going to go from our most productive locations, most highly productive, highly traffic, most premium locations in North America and attack those first. And that is really what we're working on. A format that we're most excited about that we need to get built out is what we're calling a side-by-side format where, for example, in Pentagon Mall in Washington this spring, we'll take our existing store, which is a women's-only store, relocate it to a larger format with a side-by-side men's, women's location in about 3,700 square feet, bringing men's to the lease line and creating a dual-gender view to the customer. We believe that, that, on the full-price side, is an enormous growth opportunity for us. In factory, we are seeing incredible response to our men's. And there, we have 2 formats: one is a separate men's store in the neighborhood of our women store; or again, combining our men's and women's presence under one roof side by side. And we see both of those opportunities as viable and I think, long term, going deep into our fleet in terms of penetration. Our men's productivity is significant. It's very comparable to women's at very high margins and very high returns.
Operator: Our next question comes from Erika Maschmeyer with Robert W. Baird.
Erika K. Maschmeyer - Robert W. Baird & Co. Incorporated, Research Division: Just one clarification to start. We are at least mid-single-digit comp guidance. Is that what you're thinking about for each quarter over the rest of the year just? Or the remainder of the year as a whole? And then can you talk a little bit about the trends that you're seeing on the wholesale side? I noticed that you kind of moderated your language around the shipments and the U.S. department store POS are up less than they had been. So I guess anything that you're seeing there?
Jane Nielsen: Yes, the guidance for the mid-single-digit that we're giving is for the balance of the year.
Lew Frankfort: At least mid...
Jane Nielsen: At least mid-single-digit balance of the year.
Lew Frankfort: With regard to wholesale, again for context, it's 13% of our sales. And that does include our international wholesale business, which is growing double digits at POS. And our U.S. department stores, we were pleased to post a 3% comp performance in what we consider a very developed channel and a very strong promotional environment.
Operator: Our next question comes from Edward Yruma with KeyBanc Capital Markets.
Edward J. Yruma - KeyBanc Capital Markets Inc., Research Division: With so much of your growth coming in the North American business from men's, can you talk a little bit about how you're changing your marketing to focus on men and how you're trying to introduce the brand to that man customer that doesn't know that there's a men's product for them at Coach?
Michael Tucci: Okay. Well, first, the context. A significant majority of our growth in the first quarter came from women's, not men's. So women's is really continuing to grow rapidly. As we quickly develop scale in men's, we expect naturally to see a greater proportion of our growth come from men's. In terms of our marketing to men, we are going to distort spending starting this holiday season here in the States towards men, particularly both in publications that men tend to read, as well as through focused digital opportunities. So for us, key is really building awareness that we have a very broad and excellent assortment and for those men on the call we invite you to visit our stores or the Internet.
Operator: Our next question comes from Kimberly Greenberger with Morgan Stanley.
Kimberly C. Greenberger - Morgan Stanley, Research Division: Well, it sounds like your North American growth is going to be largely driven by men's here in the near term. I'm wondering if you can just step back and look out at the next 2 to 3 years and tell us what do you think the total men's store opportunity is here in the North American market and how does that compare with the total women's opportunity? And then just a clarification on your earlier commentary, if you can help us understand in that 9% North American comp how the full-priced business and the factory business compare to one another?
Lew Frankfort: I'll let Mike begin, and I'll amplify.
Michael Tucci: Sure. While the easy one is on the comp performance between the 2 channels, very, very consistent with prior quarters and both channels performing very, very similarly. On men's, I think it's important to understand that it's still early. We're very enthusiastic about what we're seeing. The men's opportunity on the factory side of the business is demonstrated. And there, I would say we are in more than a rollout in distribution growth mode. On the full-price side, real estate acquisition and positioning in the marketplace, frankly, is more of a long-term challenge and will take more time. And we continue to experiment with what the optimal format is in men's on the full-price side. So I would say there, we need a little bit more time to commit to how large the opportunity can be. Confidently, we're going to double our men's business this year in North America and build it to a meaningful base and a meaningful penetration to our total company business. It is also providing comp and productivity to the overall channels in full-price and factory. Long-term target, I see men's as being -- I would go out on a limb and say that men's can be 15% to 20% of our women's business over time, which obviously sets it up as a substantial growth opportunity, both within North America, as well as from a global standpoint. Lew, do you want to add?
Lew Frankfort: I would only add that I do believe that markets such as China and select Western European and Middle Eastern and East Asian markets will actually be higher. And in fact, this year, we expect the penetration of men's to exceed 15% both in Japan and China, heading quickly towards 25% in China.
Operator: Our next question comes from Omar Saad with ISI Group.
Omar Saad: Quick question. The markets continue to be a little bit concerned about the fragility of the economic environment, and the U.S. consumer continues to defy gravity in some sense. And retail sales numbers tend to be good, especially for some of the great brands out there like yours. How do you feel about that kind of aspirational consumer and their health? And are you seeing anything in your research or in your trends in the stores that lead you to believe that this strength is temporary?
Lew Frankfort: We can offer a very broad commentary, but I'll just hit a few different points. Consumers are cautious and concerned. However, unlike what occurred in '08 and '09, there's been no increase in the percentage of consumers that believe we're going to go into a deep recession. So even though there is worry, there isn't a feeling that the bottom is going to fall out, point one. Second, when we look at our consumer, she and he skews towards college graduates. And when we look at college grads, which represents about 1/3 of the total labor force, the unemployment rate is only about 4,%, higher than it should be, but it's only 4%. So the middle and upper middle class as the professional classes are doing a lot better than America overall, and those brands that are able to provide innovation, relevance and perceived excellent value are continuing to thrive. And we, as an acceptable luxury brand, are extremely well positioned to do that.
Operator: Our next question comes from Faye Landes with Consumer Research.
Faye I. Landes - Consumer Edge Research, LLC: Can you just -- a couple of sort of cleanup questions at this point. First of all, I just want to make sure because I think there may otherwise be some confusion, just clarify, just, I guess, lead to lead the witness, how little the contribution is of Singapore to the total?
Lew Frankfort: Go ahead, Andrea.
Andrea Shaw Resnick: It's de minimis, Faye. At this point, you'll recall that in Jane's section, I think we talked specifically to the fact that we acquired 6 stores. So it is really extremely small. We did note and we state our prior-year number indirect to direct by $2 million so we can give you an idea of exactly how small that business is.
Faye I. Landes - Consumer Edge Research, LLC: Okay. And also, Lew, I was hoping -- if you can just elaborate a little bit more on China. I heard what you said and I appreciate it. The results speak for themselves, but needless to say, investors need a lot of handholding on this. And I think even the term soft landing is something that might unintentionally spook people. So I know you do a lot of insight work here, so if you can...
Lew Frankfort: Okay. I got it. When we say soft landing, we're talking about 8% growth rate falling to 6% or 5% for a short period of time. We're not talking about anything significant. Yes, there's a perceived bubble in the extremely high-end real estate market. That is not our consumer. So we're not feeling anything, and we don't expect it to be material. And just in closing, we actually increased our guidance for performance for the year to the top end of our range. So if anything, our performance is exceeding our expectations of 3 months ago.
Faye I. Landes - Consumer Edge Research, LLC: Okay. And also just one more quick follow-up on that. You talked -- I mean you do -- you are leading the charge in a certain sense outside of the Tier 1 cities and you've been very farsighted on that. Can you just talk a little bit about what the differences you're seeing in consumer behavior, in general, among the different -- in between the different tiers?
Lew Frankfort: Well, first, we have lower -- Coach has lower brand awareness in our second-tier cities, second- and third-tier cities, so we've been partnering with the department stores or with the malls to develop special programs to introduce Coach. Out of the gate we're performing extremely well beating our expectations. More broadly, we find that there's an appetite for a limited-edition product as well, even in situations where we're the first international accessories brand within the areas. And what we're finding is we're enjoying great success and very high repurchase intention. And I'll just close with a lasting comment, a broad general comment, which is shopping is the #1 pastime in the secondary and tertiary markets, as it was in the United States 30 years ago. So when we visit our malls, we find multigenerations of consumers browsing, and we're building awareness and driving sales.
Andrea Shaw Resnick: Thanks, everybody, for joining us on our conference call today. As Mike noted, I'd now like to turn back to Lew for a few closing words. Lew?
Lew Frankfort: I think we said it all. The quarter was good. We are on track for an excellent holiday season. You can tell by our -- beyond the words, the energy that all of us have that, we're feeling really good about our over-arching strategies. Growth in North America, which is expanding share in a growing market, the incredible international opportunity with the sharp focus in China. And lastly, of course, men's, which is going to be a roar for Coach. Thank you, everybody.
Operator: This does conclude the Coach earnings conference. We thank you for your participation, and you may now disconnect your lines.